Operator: Good afternoon my name is Jason and I will be your conference operator today. At this time, I would like to welcome everyone to the Universal Corporation First Quarter Fiscal Year 2016 Earnings Call. [Operator Instructions]. Thank you. I would now like to turn the call over to your Candace Formacek, Vice President and Treasured. Ma'am you may begin your conference.
Candace Formacek: Thank you, Jason and thank you for joining us. George Freeman, our Chairman, President and CEO; and David Moore, our Chief Financial Officer are here with me today and they will join me in answering questions after these brief remarks. This call is being webcast live and will be available on our website and on telephone taped replay. It will remain on our website through November 4, 2015. If you are listening to this call after that date or if you are reading a transcription, we have not authorized such recording or transcription. It has been made available to you without our permission, review or approval. We take no responsibility for such presentation. Any transcription, inaccuracies or omissions or failures to present available updates are the responsibility of the party who is providing it to you. Before I begin to discuss our results, I caution you that we will be making forward-looking statements that are based on our current knowledge and some assumptions about the future. For information on some of the factors that can affect our estimates, I urge you to read our 10-K for the year ended March 31, 2015, as well as our Form 10-Q for the first fiscal quarter of 2016 which was filed today. The factors that can affect our estimates include such things as customer-mandated timing of shipments, weather conditions, political and economic environment, changes in currency, industry consolidation and evolution and changes in market structure or sources. Finally, some of the information I have for you today is based on unaudited allocations and is subject to reclassification. In an effort to provide useful information to investors, our comments today may include non-GAAP financial measures. For details on these measures including reconciliations to the most comparable GAAP measures, please refer to our current earnings press release. Results for the first quarter of fiscal year 2016 which ended on June 30, 2015 was a net loss of 5.9 million or $0.43 per diluted share that was all down compared with net income of 0.7 million or $0.13 per diluted share loss for the first quarter of fiscal year 2015. The first quarter of 2016 due to restructuring cost of 2.4 million, $0.07 per share lower than last year's first quarter included a non-recurring income tax benefit of $8 million or $0.34 per share. Excluding that item the first fiscal quarter net loss improved by 2.9 million, $0.11 per diluted share compared to the same period last year. Segment operating losses for 3.5 million for the quarter also improved by 4.1 million compared to last year from results improvement in the North America and other region segments. Revenues for the first fiscal quarter of 2016 of 275.4 million increased by 3.9 million as higher total volumes were partly offset by lower overall green prices unless favorable product management and lower cost [indiscernible] revenues. As we entered the second year of the global leaf supplier we have seen progress in moving towards more balanced markets and productions down inventories [ph]. Early tobacco is now inbound while supply continues to see demand for certain qualities and stock positions of filtered tobacco. Despite this improvement customer shipment indication suggest that volumes will be heavily weighted towards the second half of the fiscal year similar to last year's trend. Given this the first fiscal quarter's seasonally weak results were expected. However public volume shift as well segment operating income were higher this quarter than the comparable quarter last year, crop purchases and [indiscernible] have been progressive at a normal pace while purchases of some asset origination started more slowly due impart of profits arising from weather condition. In addition customer orders have been coming at a slow pace as customers evaluate global market. Green leaf tobacco prices have continued to decline this year particularly in Brazil, Africa and Europe were currency movements have reduced U.S. dollar base prices. The lower prices in Brazil have increased demand for the above average quality new [ph] crop and inversely their reduced demand for tobacco from other origin. Moving to the second level, the other region segment results improved by 2.8 million compared to the prior year's first quarter loss of 10.6 million primarily as a result of the reduced selling general and administrative cost. Although shipment volumes were up for this segment growth margins were lower due mainly to a less favorable product mix. Sales volumes increased modestly in Africa on higher carry over crop sales and were also up in Asia on reversal of the prior year's first quarter shipment timing delay. Conversely volume decline in Brazil on delays in customer shipment timing. Revenues for the other regions segments were down by about 10% compared to the same period last year as the higher volumes were more than offset by less favorable product mix and reduced green leaf tobacco prices including impacts of the devaluation of the local currencies in South America and Europe against the U.S. dollar. Operating income for the North America segment was up 1.7 million compared to the prior year on the higher domestic volume mainly as a result of shipments that was delayed in the first quarter of this year. Revenues for this segment similarly increased on those higher volumes partly offset by less favorable product mix. The other tobacco operation segment operating income for the first quarter of fiscal year 2016 of 0.9 million was down by 0.4 million compared to the same period last year. Results for the dark tobacco operations improved for the quarter on higher volume and margin improvement and better product mix compared to the prior year. Those results were mainly offset by losses in special services group primarily into result of the startup cost for the food ingredients business which will commence operations later this year. Oriental joint venture recorded lower results for the quarter due to a less favorable product and customer mix despite reduced operating expenses. Revenues for this segment increased by about 17% driven by the volume improvements in the dark tobacco business partly offset by lower decline on wrapper prices. Selling, general and administrative cost for the first fiscal quarter declined by about 20% to 51.3 million. Favorable comparisons to last year's [indiscernible] to value added tax reserve and benefits from a stronger dollar on local working cost in Brazil and Europe were partly offset by unfavorable foreign currency with measurement and exchange comparison mainly in Africa and Asia. Looking forward we’re continuing to carefully monitor crop purchases this season and our unlimited inventory at 17% remaining well within our normal range. It is still early in the season but customer orders and indications are in-line with our expectation and we currently anticipate that level of volumes for fiscal year 2016 will exceed those of the prior year following any unexpected logistical challenges. We also recently announced that commencing with the 2016 crop season we are scaling down our operations in Zambia where we have historically contracted with growers to purchase winter crop but do not end processing facility. This change is a result of continuous testimony of our operations to achieve efficiencies and structures that deliver value for all stakeholders and consistent with industry movement to reduce store sales complexity. At this time we’re available to take your questions and we have got note for you as well as [indiscernible] today and we have difficult hearing [ph] him and we may need to repeat his answers. So Jason I will turn it back to you for questions.
Operator: [Operator Instructions]. And your first question comes from Ann Gurkin. Ms. Gurkin, please go ahead with your question.
Ann Gurkin: I want to start if I may with your outlook for customer demand given that a lot of the end markets have strengthened for cigarette sales I was wondering if you can just comment kind of your outlook for demand from your customers over the next couple of years.
George Freeman: Well you know I think kind of like what I had explained is two days ago this year it is come back and it is not as I would say depressed as it was last year. So sort of in-line with expectation.
Candace Formacek: Yes, and we’re saying Ann, as we mentioned that we expect higher vendor volumes this year than last year.
Ann Gurkin: I was wondering if you talk about opportunities you see to increase your business whether it's gaining market share or capitalizing on sustainability or leaf tracking ability, etcetera, I want you to just touch on that.
George Freeman: Well I think again reducing sourcing complexity you know does -- I forget how many countries [indiscernible] and I think we’re seeing continued decline in the production in these marginal market and some for tax reasons you know have to -- it will just exist because they can't afford to bring it [indiscernible] but again I think that’s going to favor global suppliers. The other thing is I think global leaf suppliers do have systems that allow us to for last [indiscernible] at least and some of the smaller regional dealers does so again that trend is going to work in our favor.
Candace Formacek: Well I think that’s the main points, you know I think we have announced again you know of the minutes per changes and some of the supply chain services that we provide and you see this opportunity at the time that plot changes ranges every single origin so it typically could involve while to see what really makes sense efficiency but it's going to benefit all the stakeholders we continue to work on that.
Ann Gurkin: And then can you talk about I guess the movement of the real in the quarter, can you talk about your hedge positions and how should I think about how those flow through in the back half?
Candace Formacek: Well we’re trying to apply our hedge positions as we sell, make the sale in our revenue so we tend to use hedging program to lock in arrangements that we made with customers that type of order. So you will typically see those at the end of the same time as you see the revenue.
Ann Gurkin: Okay, with the change in your COO position, any changes besides Zambia that we should look for?
Candace Formacek: No we’re not announcing any other changes but it is a good example of places where we see more efficient and minimize expanding into areas that are unnecessary potentially for where our customers and need to -- and we’re still able to source from that contract.
George Freeman: Yes that’s a classic example of reduction or sourcing.
Ann Gurkin: Okay, and then if you can update for me the tax rate for this year? Always ask for that--
David Moore: It's going to be about 35%.
Ann Gurkin: And Candace, do you have worldwide uncommitted lease numbers?
Candace Formacek: Our worldwide uncommitted estimates is this is as of March, 131 million so we don’t get those updated quite frankly we should have it update later in the next quarter.
Operator: [Operator Instructions]. And your next question comes from Bryan Hunt.
Bryan Hunt: I was wondering if you could talk about there are several announcements where you all won business in Mexico, the United States, Brazil as cigarette manufactures did you consulted the value chain, can you give us an idea of when you will begin shipping those initial volumes under those new agreements?
George Freeman: Next crop year but let's see--
Candace Formacek: Bryan, we’re going to be later in this year that will affect but depending on the lease term of the [indiscernible] is more likely to fall into probably fiscal year -- it's a mixture. We have put specific numbers out on that but we do expect that to begin to come in later this year.
George Freeman: And this is kind of the end of the -- we can split it between.
Candace Formacek: Yes so we don’t expect to see a full year's of that.
Bryan Hunt: And my next question is, you know last year your customers whether it was a combination of slow consumption patterns or heavy inventory as well as the oversupply of leaf, there weren't too aggressive with their patterns to say the least but now we have got weather damage in Kentucky and Tennessee on the domestic barley crop, the Chinese crop I think is down high single digits on the [indiscernible] side. Can you talk about whether you’re seeing -- and you said normalized or at least more normalized order patterns. Do you see any potential anxiousness from your customers looking to secure tobacco orders more rapidly this year than they have in I guess normal periods, have you?
George Freeman: There is a still a lot of tobacco out there. Now granted the domestics U.S. barley [ph] it's early three much in balance it could be continues -- the crop continues to come down it got some of the domestics perhaps exited year in this early market I haven't really seen much change. It's normal but there is still delay and they are still a lot of tobacco down there.
Bryan Hunt: And given that they are still want of tobacco, do you see any problem meeting any of the great specifications that you have in terms of orders either with old crop of new crop?
George Freeman: While we do I mean we -- in certain grades or regions it's hard we can't -- if we did some work we could get more out of the crop but this is not there. So I wouldn’t say that we have had huge issues [Technical Difficulty].
Bryan Hunt: Okay and then my last question is, in the fourth quarter you all took a hit on earnings and startup cost, is there a way you can quantify the startup cost associated with the new foods business which you’re looking for this fiscal year?
Candace Formacek: We haven't put that out Bryan and we’re really not looking to start production when we look at later this year, I think improvement -- really having conversation about it.
George Freeman: And there is a big [indiscernible] we startup in October, takes a lot time to qualify with these beverage makers so there is a switch and inherent lag in that portion of this business. I think the in that size you can start selling that pretty much out of the gate.
Candace Formacek: We think it's going to be a good opportunity later, it's just really kind of premature we will be giving you update on that. Most of the investments so far has been capitalized as per the plan and that’s come along nicely but there are obviously we have people who have been hired, there is work going on, there have been purchases that really add up to the part of the startup, so it's inevitably. One team left for financial before we have the incomes.
Bryan Hunt: And then my last question is with the decline in the crop size in China, I mean do you see an accelerating opportunity to grow your business in Asia overall?
Candace Formacek: I see a decline in China, the amount of stocks in China is still vastly exceeds the decrease in their crops. So, I don’t think it's really effective much.
Operator: [Operator Instructions]. And I'm showing at this time that there are no further questions.
George Freeman: Okay. Have a nice season.